Carsten Knobel: Dear investors and analysts, good morning from Düsseldorf and a warm welcome to our Conference Call on the Full Year Results 2021. Thank you really for joining us today. Together with Marco, our CFO, I would like to talk you through the full year 2021 presentation and also for sure answer your questions. Before we start, I would like to remind everyone that this presentation, which contains the usual formal disclaimer to forward-looking statements within the meaning of relevant U.S. legislation, can be accessed via our website at henkel.com/ir. The presentation and discussion are conducted subject to this disclaimer. I will not read the disclaimer, but we take it as read into the record for the purpose of this conference call. What are the key topics we will present to you today? First, we will take a closer look at the final 2021 results as well as the outlook for 2022. Henkel delivered a good performance in 2021 in a highly demanding market environment and the outlook for 2022 is unchanged compared to the announcement end of January. Second, we will report on our progress in the implementation of our strategic framework, which is well on track. We will also outline the priorities we have set to advance to the next level of our purposeful growth agenda. And finally, with Henkel Consumer Brands and our new 2030+ sustainability ambition, we will highlight two of our key initiatives that will shape our way forward. Starting with the key financials in the full year 2021, Henkel Group sales advanced to €20.1 billion and we achieved significant organic sales growth of 7.8%, with growth across all three business units. We kept the adjusted EBIT margin stable at 13.4%, thanks to strong volume expansion and pricing and saving initiatives. With this, we could offset the accelerated headwinds from direct material prices. Adjusted EPS improved by 9.2% at constant currencies. We generated a free cash flow of €1.5 billion, ending the year with a further improved net financial position of minus €300 million. And with a dividend proposal of €1.85 per preferred share, we will also sustain our long-term track record of increasing for stable dividend payouts. Let us have a closer look at the business environment we are operating in. Throughout 2021, we experienced a strong economic recovery with the broad-based improvement of industrial demand across regions and sectors. Overall, the industrial production index increased by about 7% in 2021 compared to a decline of more than 3% in 2020. The second quarter saw the strongest expansion rates versus a particularly low prior year basis. And since the economy recovery has started to accelerate from Q3 of last year, growth dynamics showed in the course of the second half year to 5% versus 11.4% in the first half. While most industrial markets performed well, selected industries such as automotive were held back by supply shortages, especially in the second half of the year. Turning to our consumer markets, where we saw varying dynamics throughout the year of 2021. As a result of increasing vaccination rates in many countries, with many restrictions lifted across our key regions, consumer behavior and demand were normalizing as the year progressed. Nevertheless, our relevant markets in Beauty Care developed slightly negative in 2021. This was in particular due to significant decline of the soap market in key regions like Western Europe and North America, which were affected by the strong unwind of 2020 peak demand levels. Our relevant Laundry & Home Care markets were slightly positive in 2021 with differentiated developments across regions and also categories. Generally, the overall picture did not change throughout the year. Demand was lower in most of the categories which had benefited from the pandemic-related elevated demand levels, such as home colorations, soap or hard surface cleaners. In contrast, hair styling and especially the hair salon market continued the strong recovery, which started in Q2 of last year. Heavy-duty detergents markets were robust with a stable development, auto dishwashing on the other hand, continued to grow in 2021. At the same time, we faced an unprecedented input cost inflation. Prices for raw materials and logistics were significantly increasing throughout the year of 2021 with a broad-based movement across the different raw material classes and regions. On average, prices for direct materials were up by a low double-digit percentage versus prior year, leading to gross price headwinds of around €1 billion in fiscal 2021. We work very hard to limit the impact on Henkel’s profitability with comprehensive savings in the supply chain and especially pricing initiatives. These measures are in full execution, resulting in strong pricing across all business units with an accelerated trend throughout 2021. However, since our pricing initiatives are materializing with a certain time delay, they could not yet fully compensate for the drastic headwinds. Raw material prices continue to climb towards year-end and remained at plateau levels since then with a highly uncertain outlook for the upcoming months. This means further significant cost pressures in 2022, in particular, in the first half year, which we will address with another step-up in pricing and saving initiatives, however, again, with a certain time lag. But how does our sales performance compares to the pre-COVID situation? What you see here is over the 2 years horizon, that Henkel achieved an overall strong compound annual growth rate in organic sales of 3.5%, in line with our new mid to long-term ambition. Adhesive Technologies and Laundry & Home Care clearly exceeded pre-COVID levels across all business areas with a CAGR of more than 4%. Over the same 2-year period, the industrial production index showed a compound annual growth rate of 0.8%, not including price effects and the relevant Laundry & Home Care market grew by close to 4%. In contrast, beauty care is slightly below its 2019 levels, which is not a satisfying performance. But to put this into perspective, the development of our active markets was overall flat over that period. It is worth noting that the business unit in both Consumer and Professional were ahead of their respective pre-COVID levels in the third and the fourth quarter of 2021, as already highlighted in our conference call before in the Q3 call. With that, let me hand over now to Marco. Marco, please.
Marco Swoboda: Yes. Thanks, Carsten, and good morning also from my side to everybody on the call. Let me provide some color on our financial performance in fiscal 2021. And as Carsten said, I will keep it short and focus on the key developments. So overall, in a challenging environment, we achieved significant sales growth of 7.8%, driven by both strong pricing of 3% and volume increases of 4.8%. The net effect of acquisitions, divestments was broadly flat. And currencies, however, were a strong headwind at minus 3.5%, bringing the nominal sales development to grow by 4.2%. So let’s look at the regional picture. In 2021, we recorded organic sales growth across all the regions. And organic growth was even double digit in the emerging markets, and in each of Middle East, Africa, Latin America, Eastern Europe and Asia Pacific regions. North America recorded an organic sales growth of 1.2%, mainly driven by double-digit growth in Adhesive Technologies, while our consumer businesses were below previous year’s levels. Western Europe was up by 3.2%, largely as a result of significant growth in Adhesive Technologies. So looking at the business units, starting with Adhesive Technologies and here, backed by the continued broad-based recovery of industrial demand, Adhesive Technologies achieved organic sales growth of 13.4% with double-digit growth across all business areas and supported by all regions. And growth was predominantly driven by a double-digit increase of volumes but also with a strong contribution from pricing, which accelerated quarter-over-quarter. Thanks in particular to the strong expansion of volumes and resulting positive operating leverage effects as well as price increases, we were able to compensate the drastic input cost headwinds. The business unit closed the year with an adjusted EBIT margin of 16.2%, corresponding to an improvement of 100 basis points year-over-year. Beauty Care recorded positive organic sales growth of 1.4%, driven by pricing and mix while volumes were slightly negative. Following a significant decline in sales last year, our professional business showed a strong comeback in fiscal 2021 with double-digit growth across all regions. Our consumer business ended the year below prior year with mixed developments across categories. Key driver was a significant decline in key markets: Western Europe and North America in Body Care. In contrast, our Hair Cosmetics business achieved good growth overall, in particular, driven by a very strong recovery of Hair Styling and good growth in Hair Care. The adjusted EBIT margin came in at 9.5% 50 basis points below the level of 2020, impacted by lower gross margin as well as increased investments in marketing and advertising. Now, moving on to Laundry & Home Care and closing that review now of the business units with Laundry, which continued its strong organic sales performance with growth of 3.9%, predominantly driven by pricing. Both Laundry Care and Home Care recorded strong organic growth. The business unit grew in all regions, except for North America and even achieved new record market shares in Europe, Middle East, Africa and Asia-Pacific. The adjusted EBIT margin declined by 130 basis points to a level of 13.7%, this was due to the unprecedented raw materials and logistics price increases, which could not be offset by pricing and savings initiatives yet. Back to the group financials, taking a closer look at the components of the adjusted income statement, against the background of drastic and broad-based price increases for direct materials, group adjusted gross margin was down by 1.5 percentage points to a level of 45.2%. Marketing, selling and distribution expenses increased by 1.1% in absolute terms, but decreased by 80 basis points to a level of 25.4% as a percentage of sales due to the higher nominal sales achieved. Investments in marketing and advertising were almost stable overall. And in total, the adjusted EBIT margin was stable at 13.4% despite the significant headwinds from increased direct material prices. On to the bridge from reported to adjusted EBIT. One-time expenses totaled €259 million and mainly relate to non-cash impairment of Beauty Care technology with uncertain future usability acquired back in 2017. Restructuring expenses amounted to €227 million slightly below the prior year level. Main focus was on optimizing our production and distribution structures as well as on the strategic realignment of our digital and IT organization. As a result, reported EBIT overall increased by about 10% to a level of €2.2 billion. Adjusted EBIT improved by about 4% to almost €2.7 billion. And the financial result came in at minus €64 million, up from minus €94 million in the previous year. The difference was mainly due to lower U.S. dollar financing costs. The adjusted tax rate of 25% did not materially change year-over-year. And finally, adjusted net income after minorities amounted to €2 billion. This translates into adjusted earnings per preferred share of €4.56, which is 7% above the prior year level or at constant exchange rates, a plus of 9.2%. Moving on to our key cash KPIs, for the group, the ratio of net working capital to sales reached 2.2% and that equates to an increase of 150 basis points year-over-year. As said already during our full year call in March 2021, the prior year level was extraordinarily low due to an unusual net working capital pattern and quarterly business phasing. We had expected these effects to reverse in 2021, which, in fact, occurred in the first half. In addition, the net working capital position was influenced by strong sales growth compared to prior year period, which had recorded a sales decline. And as a result of these net working capital effects and partially offset by the improved operating profit, we recorded a free cash flow of €1.5 billion. So mainly thanks to our free cash flow generation and despite the stable dividend payout of about €800 million to our shareholders, our net debt levels further reduced to €300 million. A milestone in the area of sustainable finance was the successful issuance of 2 sustainability-linked bonds with a total volume of €720 million, making Henkel the first company in its sector to place such a euro bond. The placements are based on the new sustainable finance framework, which defines the conditions for issuing so-called green bonds and sustainability-linked bonds in the future. Taking now a look at Henkel’s capital allocation, starting with our CapEx spend of €640 million in fiscal 2021, equivalent to 3.2% of group sales. The majority of our investments were made to boost growth, expand capacities and foster our positions in sustainability and digital. Second, we also spent €166 million on the successful acquisition of Swania, the fastest-growing player in the French ecological home care market. And also going forward, acquisitions will remain an integral part of our strategy in order to strengthen and further grow our businesses. Third, our – at our Annual General Meeting, we will propose a stable dividend of €1.85 per preferred share. At 40.5%, the payout ratio is slightly above the high end of our target ratio of 30% to 40%. Last but not least, we have announced to launch a share buyback and I am glad to inform you that we started buying back our own shares just a few days ago on February 15. In total, Henkel will repurchase shares on the stock market in the amount of up to €1 billion until the end of the first quarter 2023. With this share buyback, we enhanced shareholder returns and create additional value for our investors. At the same time, it will not impact Henkel’s ability and flexibility to invest into our businesses. Let me conclude with the outlook for 2022, which remains unchanged. We continue to expect organic sales growth of 2% to 4% for the group, and the adjusted EBIT margin is expected in the range of 11.5% to 13.5%. Adjusted earnings per preferred share is expected to develop in the range between minus 15% and plus 5%. For sure, these are wide ranges, which are reflecting the high level of uncertainty and volatility in our markets and in particular, in the area of raw material and logistic prices, which brings me to the key assumptions and factors, our outlook is based on the strong headwinds from input cost inflation as well as strategic measures. Also here, no changes to what we said 4 weeks ago, but still I would like to highlight the key aspects once more. On average, we anticipate direct material prices to further increase by low double-digit percentage in 2022 compared to 2021, equivalent to gross price inflation in the magnitude of close to €1 billion, with particular strong effects on margin and earnings in first half of the year. Of course, all teams are working hard to offset these effects through pricing and savings initiatives. And while we expect to compensate a high share of these headwinds this year, the full benefit will only unfold in 2023. In terms of strategic measures, we reflected measures already decided and in implementation to improve the Beauty Care portfolio, including also discontinuation of activities that will not be part of the future core business, which in total are equivalent to around 5 percentage points of the business unit sales in 2021. And to be clear, not yet included are benefits and other one-time effects from the creation of Henkel Consumer Brands. And with this, back to you, Carsten.
Carsten Knobel: Thank you, Marco. [Technical Difficulty] ago in early March 2020, we launched our new strategic framework, Henkel’s Purposeful Growth agenda. After 2 years in execution, let me take this occasion to reflect on the progress we made so far and how we want to advance our strategic framework to the next level. And I’m proud to say we made strong progress across all pillars. The past 2 years have proven that we have set the right priorities for Henkel future. And despite the challenges we have been facing in our market environment, we stick to the plan, state through our convictions and consistently implemented our strategic priorities. The Purposeful Growth agenda will continue to be our guiding framework to further enhance our businesses and ultimately, the entire company. What is clear? We need to constantly adapt in order to be successful, and we have been transparent about it. In some areas, we see the need for further action. That is while we are evolving our growth agenda to advance to the next level with a clear ambition and commitment to win the 20s through purposeful growth. Today, I would like to provide an update on our progress and also give you some more color on our way forward. Starting with our winning portfolio, 2 years ago, we set ourselves the target to divest or discontinue brands and businesses with sales of around €0.5 billion, and we delivered on that. We also strengthened our portfolio with 3 acquisitions in 2020 and 2021 in each of our three business units, adding annual sales of more than €200 million. For sure, we made strong progress in shaping our portfolio, but we are not yet where we want to be. As an important element and enabled by the creation of Henkel Consumer Brands, multi-category platform, we will step up our active portfolio management and further sharpen our portfolio with a specific focus on our consumer businesses. And against clear criteria, which means leading positions, attractive growth and healthy margins. And we will continue to grow our businesses through value-enhancing acquisitions. So M&A remains an integral part of our strategy, as just demonstrated. Two weeks ago, we announced the acquisition of Shiseido’s Hair Professional business in the Asia Pacific region, an important step to further strengthen our professional business, which has delivered a very strong performance in the past year, supported by a string of pearls of value-adding acquisitions. We will acquire an attractive portfolio with strong successful premium brands such as Sublimic and Primience endorsed by the licensed Shiseido Professional brand. It is a perfect strategic fit to our existing portfolio, adding highly complementary brands and also hair categories. And we are significantly expanding our position in the attractive Asia Pacific market, particularly in Japan and in China, the world’s top two and three hair professional markets and important centers of trends and innovations. The business to be acquired is representing annual sales of more than €100 million and is backed by strong R&D capabilities, so a great addition to our professional portfolio. Moving to the next pillar of our strategic framework, which is impactful innovation. In Adhesive Technologies, we are advancing with our high-impact solutions leveraging the opportunities offered by the global mega trends, sustainability, connectivity and mobility. In Beauty Care and Laundry & Home Care, we successfully launched products onto the market that address relevant consumer needs with a particular focus on sustainability and growth segments. Under our flagship brands, such as Persil and Schwarzkopf; or under our dedicated nature brands, such as Nature Box. One important KPI we are tracking in this regard is our innovation rate which advanced in the consumer businesses to meanwhile, more than 50%. Key to innovation are strong consumer insights and close collaboration with customers, both of which we successfully drove forward in the past 2 years. For example, we opened our new inspiration center for Adhesive Technologies at our headquarters here in Düsseldorf and work has already begun in building another innovation center in Shanghai. Our teams also intensified the collaboration with external partners, for example, with startups, incubators or think tanks, and we will continue to build on that, with the launch of our new venture capital Fund II of €150 million, with continued investments supporting our strong innovation pipeline to expand our market positions despite strong cost and margin headwinds from input cost inflation and with another step up in customer and consumer collaborations through our unique innovation centers, D2C platforms and the use of tools leveraging the potential of artificial intelligence. The area of sustainability, we made particularly strong progress in the past 2 years and achieved important milestones. Just to name a few key examples of how we contribute to climate protection and the circular economy. We meanwhile reduced carbon dioxide emissions by 50% in our operations compared to the base year 2010 and increased the share of green electricity to more than two-thirds. And today, 86% of our packaging is recyclable, approaching our long-term target of 100% by 2025. Our biggest lever are our products and technologies. And across all three business units, we have been driving the transformation of our portfolios and products to increase their contribution to more sustainability. Our efforts and progress are also externally recognized and it’s demonstrated by our excellent results in relevant ratings and rankings, for example, with EcoVadis. When it comes to the next level, we are accelerating our efforts guided by our new 2030+ Sustainability Ambition Framework. More on this in a few minutes. We will continue to advance our portfolio with a clear aim to fully turn sustainability into a true competitive edge for customers and consumers alike. And we will advance our portfolio in Adhesive Technologies, building on our comprehensive approach to map and track the sustainability contribution of our products and solutions. Also in the field of digitalization, we have been taking significant steps forward. With a strong increase in digital sales throughout the Henkel Group, the digital sales share stand at more than 18% that translate into an organic growth of around 60% compared to the level just 2 years ago, particular driver, our B2B e-shops in Adhesive Technologies and in Beauty Care Professionals. Also, our new digital unit, Henkel dx, which combines the digital and IT teams across Henkel is fully operational, a step change for Henkel, and we keep investing in new initiatives while further optimizing our overall IT spend. Often forgotten in the discussion, we are driving the topic of Industry 4.0, with success and differentiating Henkel from our competition, our pioneering role was once more confirmed by the World Economic Forum. Going forward, we will focus on further expanding digital sales driven by our e-shops and e-commerce platforms. We will leverage our new digital hubs in Berlin and Shanghai with strong collaboration between the teams at Henkel dx and our businesses. And we will implement our new platform strategy, leveraging our partnership with Adobe and scaling up our new integrated RAQN platform, which has a particular focus on driving e-commerce. Moving on now to our future-ready operating model, here, we implemented relevant changes, the new organizational, more customer-centric structure, along four business areas in Adhesive Technologies is firmly embedded. Also in Beauty Care and Laundry & Home Care, we adapted the organizational setups to increase proximity to customers and consumers and to strengthen the regional focus as we did for the purchasing function where the teams became even more aligned to business units innovation in markets. Looking at what’s to come in the next month, the merger of Laundry & Home Care and Beauty Care to create one multi-category platform, Henkel Consumer Brands will be a step change regarding our operating models and more to that in a minute. But what is also important to me, also beyond Henkel Consumer Brands, we will optimize support structures and follow a stringent approach to manage our cost base. Last but for sure not least, our cultural transformation. We have been crystal clear that for us creating a collaborative culture with empowered people is key to Henkel’s long-term success because it will be the people and the culture that make the difference. We launched our new purpose, pioneers at heart for the good of generation. It serves as our north star, both for our teams and for our growth agenda. To make it tangible across all touch points, we are launching Henkel’s new corporate branding today. Since we are convinced that cultural transformation starts from the top, we have completed engaging our top executives in new leadership trainings and introduced the 360-degree feedback process and not least accelerated through the pandemic. We have made a step change when it comes to new ways of working, supported by our holistic Smart Work concept, which we are rolling out globally as we speak. Also here, we have set clear priorities going forward. We will drive our cultural journey with a particular focus on enabling pioneers. We will complete the rollout of our Smart Work concept and we will strengthen diversity, equity and inclusion across all dimensions. To wrap it up, we have made substantial progress across the six pillars of our framework. We achieved key milestones and have further evolved our company. But despite the progress we made, we are also well aware that there are areas where we need to become better. In particular, in our consumer businesses, for example, in the performance of Laundry & Home Care in North America and some parts of our Beauty Care consumer business. That is why we have defined clear priorities for the next level of implementation in order to fully leverage our potential. Today, I would also like to discuss two of our key initiatives of Henkel’s way forward: the creation of Henkel Consumer Brands and our new 2030+ Sustainability Ambition Framework. As indicated in our call, in the end of January, we will share more comprehensive background and details on the creation of Henkel Consumer Brands beginning of May. Still, I want to take the opportunity to inform you about our progress, in particular, regarding the organizational structure, specify some aspects and provide more color on the process timeline. Because even though it is too early to share the full picture, we know that there is high interest, and we want to take up some of the questions raised. We will combine our Consumer Goods businesses, Laundry & Home Care and Beauty Care to create one strong integrated business unit as a foundation for future profitable growth with clear key benefits. First, we will create one multi-category platform for growth for all our consumer brands and businesses under one roof with a combined size of around €10 billion. Importantly, here, we are raising the bar on what it takes to be the part of the portfolio. Second, we will join forces and create significant synergies. This will be used in part for targeted investments in strategic priorities, I mentioned them before, innovation, sustainability and digitalization, but also to strengthen the new business unit’s margin profile. And third, we will form one team to win. Under the leadership of Wolfgang König, the team will take full ownership and responsibility for results. We will have leaner structures, faster and more agile decision-making. And with this create bigger and more exciting roles and opportunities for our people. With this winning combination, we will take our purposeful growth agenda to the next level and drive growth and profitability of our combined consumer platform and that for Henkel. Let me be more precise on our take when it comes to the future portfolio of Henkel Consumer Brands. And allow me to clarify some aspects. For us, it is about two topics: firstly, shaping the portfolio; and secondly, expanding it. It is our clear ambition to step up our active portfolio management beyond the active portfolio measures, which we completed by the end of 2021. We have defined clear mark tests for the brands and businesses to be part of Henkel Consumer Brands. The portfolio will be consistently focused on strategic core businesses and brands with ability to win growth potential and healthy gross margins. And as outlined in our 2022 outlook, first portfolio measures are already decided and in implementation in Beauty Care. But there is more to come. While sharpening our consumer portfolio, we will also have broader options for expansion. The combined unit will create a stronger basis for sizing future M&A opportunities across the consumer space. Having said that, it is important to note that short-term our focus will be on transforming our businesses successfully and completing the merger. Overall, M&A remains an integral part of our strategy, not only in Adhesive Technologies, but also for Henkel Consumer Brands backed by our strong balance sheet and the corresponding cash flows. The preparations for the integration process of the new business unit have already started, and we had really good initial talks with the employee representatives. And the management board took further key decisions, including the organizational setup of the combined business. Henkel Consumer Brands will be set with four regions, which will directly report to Wolfgang. In addition, there will be two global category roles: Laundry & Home Care as well as Hair, the latter including the Professional business. All other categories will be steered as part of the four regions. The future structure and also the individual responsibilities on executive level have already been announced internally. Overall, we decided to design Henkel Consumer Brands as an organization with one face to retailers trade or channel partners across all our consumer categories. That brings me to the third aspect. By merging Laundry & Home Care and Beauty Care into one integrated business unit in the mentioned structural setup, we expect significant synergies, particularly in administration, sales and marketing and supply chain which to date have been set for both business units. And we will use these synergies to fuel growth and profitability of Henkel Consumer Brands. Since end of January, we made good progress on initiating the merger execution, and we aim to have the new organization in place latest by beginning of next year. The teams in the different work streams are doing a tremendous job to make it happen. Under Wolfgang’s leadership, they have started to design the future setup with current focus on the master plan on organization and people. With the announcement of our Q1 results in May, we will provide further information on the integration process, more details on the planned portfolio measures as well as on the expected synergies and restructuring expenses. So we have a clear path towards the creation of Henkel Consumer Brands, which represents a major step to further evolve our company. With this now, moving to our brand new 2030+ Sustainability Ambition Framework, as you all know, sustainability is not a topic – a new topic for Henkel. Taking responsibility for environmental impacts and advancing social progress has been part of our DNA since the beginning. And with sustainability, playing an increasingly important role in the future of business today, we can already build on a very strong heritage. This includes, in particular, that we have a lot of experience in delivering strong performance against ambitious sustainability targets. And it’s not just me saying that. Our excellent results in ESG ratings and rankings year-on-year clearly show that we are on the right path. Just last month, we have been named again as one of the top 100 most sustainable companies and received a platinum reward of EcoVadis. But we don’t take the success achieved so far for granted. We recognize the enormous acceleration of sustainability challenges and the continued transformation that is required from a global company like Henkel. Scientific insights tell us about the increasing risk for business and societies through climate change impacts, the loss of biodiversity and the stress on natural resources. Policymakers are taking increasing actions to steer new regulation on environmental issues. On the other hand, we know customers and consumers want to buy more sustainable products. They ask for more transparency and connect their purchasing behavior to their values. Our stakeholders have broader and higher expectations of us, we see increasing requirements on transparency, disclosure and reporting. And also inside Henkel, we are ready to take the next step. We are already on a cultural journey, are working to reenergize our employees, enhancing our appeal as an employer of key talent and shaping the future of work together. With our purpose, we have set a north star for the company and embedded sustainability into our framework. In summary, sustainability is not a nice to have. It is a key element of our future operating model. Building on our company purpose, we have reshaped our 2030+ Sustainability Ambition Framework around one shared goal, to create transformational impact for the good of generations. This ambition covers three strategic dimensions that highlight our commitment to a broad definition of sustainability for a regenerative planet, for thriving communities and for our role as a trusted partner of our customers and stakeholders. And purpose, this ambition framework is straightforward and simple. Let me briefly outline each of the three dimensions. For each dimension, we have defined three key topics that are material to our business and to our stakeholders. For each, we articulated a high-level aspiration expressing where we want to go, for example, for a regenerative planet. Here, we will focus on decarbonizing our business and expand the circularity principles across all major impact areas. And we aim to shape a more progressive contribution to nature especially on biodiversity, forest and water resources. These aspirations are underpinned by concrete near-term targets and longer term ambitions. For example, all of our currently communicated and reported targets towards 2025 have been embedded in the new framework, but we also set ourselves new priority ambitions for 2030 and beyond. Let me particularly highlight an accelerated climate ambition. It is acceleration in two ways. First, we will bring our ambition to achieve climate positive operations forward by a decade from 2040 now to 2030. And second, we will set a science-based pathway towards net zero emission in our value chain based on the new standards set by the Science Based Targets initiative. Coming now to the second pillar, for our contribution to thriving communities, we are framing all our actions inside and outside the business around the areas of creating greater equity, supporting better education, evolving our health and safety towards enhancing globally. And it is important to note that we will take these topics out across the value chain, involving, of course, our own employees, future talent, communities and also our customers and consumers. There has been a lot of reframing and revising of our existing programs to become more accountable and targeted towards our aspirations. But there is one target I especially want to highlight here. We aim to achieve gender parity across all management levels by 2025. After years of steady improvement on advancing the share of women in our workforce and despite remaining challenges, we want to step up on this important milestone to make our business even more diverse and inclusive. Moving to the last or to the third pillar to continue earning our role as a trusted partner with our customers, consumers and stakeholders, the performance and safety of our product remains on top of our priorities and of course, we remain committed to create transparency on our business products and portfolio. A very important role plays our collaboration along with our suppliers, customers and partners to create shared value. This is also the aspect I would like to point out here, our continued commitment to working with our suppliers and other partners on responsible sourcing practice. And for sure, we will remain the high level of transparency and disclosure that you are used to receive from us when it comes to ESG data. There are many more targets we are working on that pay into our overall 2030+ ambition. There are also other strategic topics that we have put on our list to further assess and define for action. And just like our environments, stakeholder expectations and requirements are changing. I expect this framework to continue to grow and evolve in line with the challenges and opportunities. Let me wrap it up with highlighting three new sustainability ambitions that are part of our further transformation. We are significantly increasing accelerating our climate ambition towards the climate positive operation already by 2030 and the net zero value chain. We will expand our progress on circularity by stepping up further on waste and water in our operations, and we will aim for achieving gender parity across all management levels by 2025. Now it is about turning our new 2030+ Sustainability Ambition Framework into action. And again, this is not the start of something completely new, but the consistent acceleration of our programs and initiatives to bring sustainability at Henkel to the next level. So what you can expect from us in this is we will take concrete action to deliver on our targets and ambitions. We will relentlessly drive innovation towards sustainable solutions and competitive products. We will energize our people and involve them even more. Therefore, we will launch a new program to engage and empower our employees to take action on sustainability, and we will continue to realign our organization and reporting with our new ambition framework. Our 2021 sustainability report, which we published also this morning, is only the beginning. Our 2030+ Sustainability Ambition Framework will provide a strong basis for our ongoing efforts and our future achievements. We are leveraging our strength and accelerate action with new long-term ambitions in the three dimensions to further progress. As such, it underpins our commitment deeply rooted in our company values. As leaders, we aim to pioneer new solutions for sustainable development while continuing to shape our business responsibly and increasing our economic success. So we have set clear priorities and targets taking our strategic framework to the next level. And we are committed to delivering on these. Implementing our growth agenda supports us to achieve our mid to long-term financial ambition, which we have specified end of Jan. They underpin our clear ambition to accelerate growth dynamics and strengthen our margin profile across our businesses. On group level, we are aiming to achieve organic sales growth of 3% to 4% and adjusted EBIT margin of around 16% and adjusted earnings per preferred share growth in the mid- to high single-digit percentage range at constant exchange rates and including acquisitions. At the same time, we keep our focus on free cash flow expansion and, also for our Henkel Consumer Brands and Adhesive Technologies, we published specific mid to long-term ambitions for top and bottom line, a compelling financial ambition, both for the group and our future to business units. Let me sum it up overall now. We delivered a good performance in 2021 in a challenging business environment. We have a strong financial foundation and follow a stringent approach on capital allocation. And here, we are clearly committed to let our shareholders participate in the company’s success as demonstrated by the stable dividend and our share buyback. Looking at ‘22, our outlook anticipates strong top line momentum, while earnings will be impacted by further substantial price increases for raw materials and logistics. We made strong progress in implementing our purposeful growth agenda, since the launch 2 years ago, and our journey continues with clear priorities to reach the next level. We have kicked off the merger of Laundry & Home Care and Beauty Care to create our integrated multi-category platform for Henkel Consumer Brands, and we are stepping up our efforts in sustainability guided by our new 2030+ Sustainability Ambition Framework. We have achieved a lot but there are also areas in which we are not yet where we want to be. That is why we are taking decisive actions to deliver on our financial ambition for the mid and to the long-term. With this now, let us move to the Q&A. Marco and I are really looking forward to take your questions. Thank you.
Operator: Thank you, Mr. Knobel [Operator Instructions] The first question comes from Christian Faitz from Kepler. Please go ahead.
Christian Faitz: Yes. Thank you very much. Good morning, everybody. Two questions, please. First of all, can you remind us of your group sales exposure to Russia and what consequences would you see for your business on the back of the latest developments? Also which of the three segments are in relative terms, most exposed to the Russian market. I would believe this is mostly on the consumer side, correct? And in that context, what explains the sharp decline in EBIT in Eastern Europe in H2 despite the sound nominal sales improvement. So that was question group number one. Second, would you share the view that your adhesives business should see additional momentum with the automotive industry expected to recover per second half of this year. Would this also further improve the price mix, as I would believe that the car customers have higher value-added adhesives in their products versus construction or packaging? Thanks.
Carsten Knobel: So, good morning Christian. Yes, coming to your first question, which is related to Russia and the Ukraine. So as you can imagine, we are monitoring the current developments in both countries in Russia and the Ukraine very closely and also, of course, for sure, with the concern. But we continue to hope really for a peaceful resolution of this conflict and the further escalation of the situation would of course, have international consequences, the extent of which is difficult to assess at this point. Coming to the concrete parts now, we have been active in Russia for over 30 years and employ around 2,500 people. We operate here with all three business units and have, yes, 11 production sites and the group sales overall are slightly below 5% for the company. And if we look at the Ukraine, we are there for over 20 years with all three business units also here. We have around 600 people with four production sites. Two are located in the Southeast Ukraine, but none in the separate controlled area. The turnover in terms of percentage of Henkel Group sales are less than 1%, which are generated in the country. Your question, when you said is it predominantly consumer-driven, which is not really the case. It is more or less – with our still three business units, it’s more or less a third, a third, a third. So, a little bit like that. So, little bit less in Beauty Care, but that’s overall, I would say the situation on that. Hope that answers because you had several parts, but I think I was now comprehensive on that. Yes, the second part was related to adhesives and here specifically to the automotive situation and the question of recovery. Overall now, automotive and metals reached double-digit growth in 2021, strongly supported by really a broad recovery in demand during the first half year. However, organic sales growth was negative in Q3 and Q4 of last year. This was due to the weak global automotive production as a result of the challenged supply chains and the semiconductor shortages. And the outlook for now ‘22 for sure, what you have seen, it was also maybe already in 2021, where a significant come back of the automotive/the semiconductor business would have been hoped at the beginning of ‘21, which not materialized in 2021 at the end. And yes, there is, for sure, an expectation that the development of the semiconductor or the shortage will come to an end. And by that, for sure, we would also in our assumption have included also a comeback of that and also coming back in terms of also top line growth. And yes, that’s what I can say in this part. If you look at the outlook, it’s recorded with a double-digit organic growth rate for the full year and outperformed the development of the light vehicle production in each quarter of last year. And for sure, that’s also our approach to outperform the market going forward, but maybe that’s more or less the answer. I hope that helps you.
Christian Faitz: Very helpful. Thank you. Thanks Carsten.
Carsten Knobel: You’re welcome.
Operator: The next question comes from Iain Simpson from Barclays. Please go ahead.
Iain Simpson: Thank you very much. I wondered if you could give a little bit of detail on the Shiseido acquisition. What you see as the kind of opportunities in terms of what you can do with those brands? And also, glad to see you hit your revenue exit target. I think you talked about 5% of beauty sales. Should we expect to see any more revenue exits elsewhere in the business, or is it just the kind of 5% of beauty flagged and then you are more or less done in terms of portfolio exit? Thank you.
Carsten Knobel: Yes. Iain, good morning, first of all, and yes, thank you for your questions. And maybe we start – first, I understood the first question to the professional acquisition of Shiseido. So, what is the strategic rationale behind – through the acquisition, we will further strengthen our hair professional business and our footprint in Asia. You know the attractive portfolio with strong and successful premium brands, I mentioned them, is really a perfect fit for our Beauty Care business and will significantly expand our hair professional core category. And with that, on top, we are already in Japan and China, and this will be added with the Shiseido professional business. On top, we will enter the hair professional market in South Korea with this setup. And yes, I think that’s for the first question. For the second, maybe I will start, and Marco then continues. We have – what we have said is our decision regarding the first measures is integrated in the outlook or in the planning of the year to implement in 2022 with an organic sales growth of 5% on Beauty Care standalone. And this includes the measures to improve the quality of Beauty Care portfolio in terms of growth dynamics and gross margin contribution. And that’s for sure, coming on top of the measures we alluded today, the €0.5 billion, which we had set ourselves as a target for March – or in March 2020 for the years 2020 and 2021. So, this comes on top. And here I stop and hand over to Marco because the other part of your question was, is this now the end of portfolio measures or are others to come.
Marco Swoboda: Yes, sure. I mean, as Carsten said, we have defined certain measures already to optimize the portfolio, in particular, with the focus of Beauty Care that accounts for the 5%. But of course, we are also looking to further optimize the portfolio that can be, on the one hand, by further divestments in line with our strategic agenda, and that is not factored into the 5%. And for sure, we also will further review the quality of the portfolio entirely. And we do also think that the combination of the two businesses into consumer brands gives us new opportunities in terms of also feasibility of certain portfolio optimization measures compared to the standalone setup before. So, all that means in a nutshell, we will of course, further look into optimizing the portfolio and the 5% is not the end, but we will further work on it. And of course, we have done some analysis on that. We have some plans, but we will further continue to do so. And for us, as we said, also initially in 2020, active portfolio management has to become a continuous process, and that is what we want to install.
Carsten Knobel: And Iain, I think that is what I said in the call, on May 5, you can expect an update on that.
Iain Simpson: Thank you very much.
Carsten Knobel: You’re welcome.
Operator: The next question comes from Olivier Nicolai from Goldman Sachs. Please go ahead.
Olivier Nicolai: Good morning Carsten and Marco. Just a couple of questions, please, on your – going back to the 16% EBIT margin ambition in the mid to long-term. What is the underlying input cost inflation you are assuming? And secondly, should we also expect a step-up in CapEx to make your business more profitable? I don’t think you have commented on CapEx kind of guidance for the future. Thank you.
Carsten Knobel: Yes. Good morning Olivier. Maybe to make it short on the CapEx part, Marco take the – will take the question of the input ambition, at least assumptions, we have been put in. So, from – I think you have seen, if you look back over the last couple of years, I can say, even on a decade, I think we have continuously supported our businesses with an increased level of CapEx or with – at the end, a stable level of CapEx, and there is no assumption in our mid-term ambition that we will have significant step-ups in CapEx. For sure, we will support our businesses. But there is no big step-up or a significant step-up planned. I think the level of CapEx we have been using over the last years was always sufficient to support. I hope that helps. I think the other question now, as you said, if I understood it right, the mid-term ambition of 16%. What is the assumption behind of input? I hand over to Marco.
Marco Swoboda: Yes. So I mean, of course, the 16% is our ambition we have set out as our mid to long-term financial ambition on the margin. And maybe let’s look at the different items. On the one hand, of course, we have the aspiration that we will pass through of that the coming years and also the high input costs that we have seen, and we had of course, talked a lot about it already on the different businesses, how that could evolve. And let’s look at adhesives for sure, also here. The aim is to reach the full pass-through of the high input costs, so that we also get back to the margins we will use in Adhesive Technologies. And of course, the same is true for beauty and laundry, where we also have to work on passing through the different input cost developments. We will also, of course, see benefits from the creation of the consumer brands unit. These defensive synergies will also help us of course, to support the margin, as we have said, also the synergies will be used to support the margin, reinvest into the business as another component to drive also top line. But of course, margin support will be another component. And then I think the third big item, of course, is the optimization of the portfolio that we concentrate on the businesses that also provide us with a better margin profile. That will be another component also that should bring us to the 16% level that we aspire to. So, that is what we can say at that point in time, I think to the principal component.
Olivier Nicolai: Thank you.
Carsten Knobel: Oliver, thank you.
Operator: The next question comes from Emma Letheren from RBC. Please go ahead.
Emma Letheren: Hi, good morning everyone. You mentioned North America grew 1.2% in the presentation with adhesives up double digit. I am not sure how big each division is in each region, but that indicates your consumer business must have done not very well. So, I am wondering if you can give some color around what’s going on in U.S. beauty and home care? Thank you 
Carsten Knobel: Yes. Good morning Emma. Yes, I think your observation is right. If you look at the North American performance in Beauty Care, overall, Beauty Care recorded organic sales growth in North America below prior year with a mixed picture looking at the different business units within beauty. We achieved a very strong comeback in the professional area, in our key markets, North America, with a clear double-digit growth. At the same time, the organic sales growth in our consumer business was below or clearly below the prior year level with a double-digit decline in Body Care. It is important here to note that the consumer business in North America has a very large exposure to the Body Care category with around two-thirds of the sales. And the category was heavily impacted by the very significant decline of demand in the soap market, resulting from the fast normalization versus 2020 peak levels. And in addition to that, the markets are affected by an unbalanced supply-demand situation and by that, also with the excess of inventory levels. That’s to the Beauty Care performance. Adhesives, as you pointed out, had a good development in North America. And the last part, our Laundry & Home Care business, was below prior year in laundry and in home care, mainly due to the supply chain and logistic issues as well as prior year high comparables, I think which I pointed also out – Marco and I pointed out also during the course of last year when we were in the Q2 call and also in the Q3 call. On the other side, especially to the Laundry & Home Care business, you know that we are on a turnaround situation or turnaround plan. And our performance here is the top priority for Henkel. And by that, we are taking definitely also decisive actions within our setup, which means we are stepping up our innovation offense with launch across our key brands and support this turnaround. We are reorganizing our structures to be more agile, more collaborative and thereby also faster in decision making and we have also and we are further shaping our portfolio and driving key capabilities as e-commerce, digi and sustainability. And based on the question of Iain at the beginning regarding portfolio measures and the answer of Marco, for sure, also the North American portfolio in consumer brands is included in our thoughts when we want to optimize our portfolio going forward in order to improve the performance. I hope that helps, Emma.
Emma Letheren: Yes, very clear. Thank you very much.
Carsten Knobel: You’re welcome.
Operator: The next question comes from Rogerio Fujimori from Stifel. Please go ahead.
Rogerio Fujimori: Hi everyone. Thanks for taking my questions. I have one on Laundry. Could you talk about the pricing elasticity you have observed in Q4 and year-to-date in developed markets? Have you seen any surprises relative to your planning assumptions so far. And then a follow-up on your beauty business and the Body Care category after the normalization of demand you have seen – we have seen in last year. How should we think about the market development for this category in ‘22? And are you comfortable with trade inventory levels in North America at the end of last year? Thank you.
Carsten Knobel: So, good morning Rogerio, so to your two questions, pricing Q4. So, as our pricing initiatives are progressing to our plans is, for sure, a differentiated picture from region-to-region to be seen. So, negotiations are still ongoing for some of the Western European countries, but we already achieved good results in terms of pricing initiatives particularly in North America and also Eastern Europe. And I think that is the important part to mention here. From the other part in Q4, we faced continued strong market headwinds from the ongoing normalization of demand and the unbalanced supply situation that is now related to the Body Care or to your Body Care question. Sales volume stabilized on lower levels compared to prior quarters, but still compared to very high prior year levels of 2020 in that comparison. And looking forward, at least my assumption, our assumption is that we are getting more and more into normalized levels because the 2 years 2020 and 2021 were too extreme. 2020 extreme in high and by 2021, markets coming back, especially on the soap market, I alluded earlier before. So, assumption is that 2022 will get into a more normalized level. And by that, also more normalized performance numbers we will see.
Rogerio Fujimori: Great. Thank you.
Carsten Knobel: You’re welcome Rogerio.
Operator: The next question comes from Chris Pitcher from Redburn. Please go ahead.
Chris Pitcher: Thank you very much. A question on Beauty Care, could you give us some detail on how profitability has recovered in professional? Has the margin impairment within Beauty Care been mainly on the retail side? And it’s that as much as anything driving the need to bring that business together with Laundry & Home in order to recover fixed cost? Thank you.
Carsten Knobel: Yes. Marco, do you want to take it?
Marco Swoboda: So, in principle – happy to take that. I mean profitability in professional, indeed, as you say, implicitly in your question, in 2020 due to the quite strong decline in turnover of cost that had also a strong downturn in profitability as a result. And with the upturn we have seen in the professional business, we have also seen profitability to recover here not yet fully to the level we had before because also here, the raw material costs have increased, but we have seen a significant recovery. And in so far, indeed, profitability in the consumer business, not where we wanted to have and that’s what we have to work on going forward. And also, for sure, the synergies that we want to create with the consumer brands unit will help.
Chris Pitcher: Thank you.
Operator: The next question comes from Iain Simpson from Barclays. Please go ahead.
Iain Simpson: Thanks very much for allowing a follow-up. Just in terms of ‘22, I wondered if you could give any indication as to how that top line might break down into price and volume. Looking at some of the comments from your competitors around the level of pricing that they are looking to take this year, would it be reasonable to expect perhaps mid-single digit pricing at group level with perhaps a little bit more in Adhesives and a little bit less in consumer products, is that the right sort of range?
Carsten Knobel: So even – Iain, thanks for your – for the follow-up. We are not guiding on a price-volume question, but I think you have heard it from Marco also for me. For sure, the unprecedented situation we are facing which we faced not only in 2021, but also as it seems in 2022 from the increase of the raw materials, which is definitely without saying that we need to further bring price increases in all three divisions into the setup. So, you can expect that without giving you a number, that there will be also a significant price effect in the businesses for 2022. And at that point, I wouldn’t differentiate between what you ask is adhesives higher than beauty or laundry. Most probably, it will be. But yes, I hope that helps and clarifies, more, I don’t want to say at this point.
Iain Simpson: Thank you.
Carsten Knobel: Iain, you’re welcome.
Operator: This was our last question. I will now hand over to Mr. Knobel for his closing remarks. Thank you.
Carsten Knobel: So first of all, thank you for all your questions, and let me briefly summarize the key takeaways for today’s presentation. We achieved, I mentioned before, a good business performance in fiscal 2021, and we are delivered on our guidance. Our outlook for ‘22, which we presented end of January remains unchanged. We achieved a strong progress along all our pillars for our purposeful growth agenda since the launch 2 years ago. And on top, we continue our journey with clear priorities to advance to the next level. We have kicked off the merger of our Laundry & Home Care and Beauty Care business to create Henkel Consumer Brands. And with our new 2030 plus Sustainability Ambition Framework, we are really accelerating our efforts in sustainability. On our next call, which will take place on May 5th, in which we will not only present our Q1 statements, but also share more details on the progress and the specifics of the Henkel Consumer Brands, as indicated at the end of Jan. And with this, I really would like to thank you for joining us today. And I can only close with please take care, stay safe and also stay healthy and see you soon. Thank you. Bye-bye.